Silvia Ruiz: Good afternoon, everybody. This is Silvia Ruiz speaking. And I would like to welcome you to Ferrovial's Conference Call to discuss the Financial Results for the Full Year 2024. I am joined here today by your Chairman, Rafael del Pino; our CEO, Ignacio Madridejos; and by our CFO, Ernesto López Mozo. Just as a reminder, both the results report and the presentation are available on our Web site since yesterday after the US market closed. At the end of the presentation, there will be a Q&A session. As in previous calls, you will have the opportunity to ask questions live [Operator Instructions]. With all this, I will hand over to Rafael. Rafael the floor is yours.
Rafael del Pino: Thank you, Silvia. And good afternoon, everyone. Ferrovial delivered solid growth across all business divisions in 2024. In Toll Roads, our North American assets experienced robust traffic performance and revenue per transaction growth that significantly outpaced inflation. In Airports, the construction of the new Terminal One at JFK continued to advance with the NTO team achieving significant construction milestones in 2024. And in Construction, profitability improved significantly with our adjusted EBIT margin reaching 3.9% for the year, surpassing our target of 3.5%. We ended the year with a strong ex-infrastructure net debt position of minus €1.8 billion. We received €947 million in dividends from our infra assets, an all-time high figure, including the first dividend distributions from I-66 and I-77 of €89 million and €205 million respectively. In addition to that, we collected €2.6 billion from divestments, primarily from the sale of a 19.75% stake in Heathrow Airport for €2 billion and the sale of a 5% stake in IRB Infrastructure Developers for €211 million. These inflows were combined with the growth investments and distribution to shareholders. Investments totaled €1.6 billion and consisted primarily of the acquisition of a 24% stake in IRB Infrastructure Trust for €710 million and €469 million of equity invested in NTO. During the year, we returned $831 million to our shareholders, including €271 million from the 2023 program. And in addition to that, the company repurchased shares totaling €272 million. In 2024, we also achieved significant milestones aligned with our strategy. Ferrovial shares commenced trading on the NASDAQ on May 9, 2024, a crucial step in our increased focus in North America. In India, we acquired a 24% stake in IRB Infrastructure Trust for a total of €728 million, of which €710 million was paid in 2024 and was partially financed by the sale of a 5% stake in IRB Infrastructure Developers for €211 million. And we divested a 19.75% stake in Heathrow for €2 billion, consistent with our strategy of rotating mature assets. Finally, we completed other asset sales in the year, like the disposal of Umbrella Roads BV for €100 million and the sale of our stake in Serveo for €55 million. In the following slide, we review some of the main figures for the year. Revenues totaled €9.5 billion, a 6.7% year-over-year increase on a like-for-like basis, driven primarily by higher revenues in Toll Roads and Construction. Adjusted EBITDA surged to €1.3 billion, a 38.9% year-over-year increase on a like-for-like basis due mainly to a higher contribution from our US Toll Road assets and our Construction business. The construction order book attained an all-time high of €16.8 billion with almost 50% coming from North America. Dividends from projects reached a record €947 million and included the first distribution from I-66 and I-77. Net debt position ex-infra projects reached minus €1.8 billion. And finally, total shareholder return in 2024 was 25.7%. Now I will hand it over to Ignacio, who will review Ferrovial's performance on the 2024 results by business division. Ignacio, the floor is yours.
Ignacio Madridejos: Thank you, Rafael. And hello, everyone. Let me start giving an update on our growth strategy. First, our main infrastructure assets in North America or US managed lanes and the 407 ETR, are expected to continue delivering a strong revenue growth. And next year, which will add a new relevant asset, the new Terminal One at JFK Airport. Second, we continue to see significant growth opportunities in North America and Toll Road assets. We have a record pipeline of new managed lanes in North America, including the I-285 East in Atlanta and the I-24 Nashville, which are set for bidding next year. Additionally, four more projects are expected to launch the bidding process within the next three years. We also see good opportunities for other infrastructure projects in the US, including airports with capacity expansion needs or greenfield digital and energy infrastructure. We'll continue to be opportunistic in other geographies where we have capabilities and will rotate mature assets when they offer more value to third parties than they do to us. This growth will be funded by a solid cash flows expected in the following years and we will maintain our financial discipline with a focus on value creation for our shareholders. Sustainability is at the core of our strategy and we believe it creates value for the company. To capture that value, we have identified KPIs with the specific targets that we report every year. We are progressing well in all of them. And I want to highlight the 26% reduction in the serious injury and fatality frequency rate versus 2022, a 35.8% reduction in Scope 1 and 2 CO2 emissions versus 2020 and the 26.7% reduction in water consumption versus 2017. We have defined new CO2 reduction targets aligned with the science based target initiatives 1.5 celsius degrees trajectory, aiming to reduce our Scope 1 and 2 absolute emissions by 42% by 2030 compared to 2020 and our Scope 3 absolute emissions by 25%. Our high sustainability ratings are a consequence of the implementation of our strategy and we are very well positioned in all of them leading our industry. Last year, we increased our Toll Road's like-for-like revenues by 19.6% and EBITDA by 19.5%. This data does not include equity accounted assets. In the case of our North American assets, revenues increased by 22.8% and EBITDA by 22.2%. Total Toll Road dividends in 2024 were €895 million, €191 million more than the previous year. And all our North American assets distributed dividends last year with the 407 ETR contributing €321 million, the Texas managed lanes €244 million and for the first time, the I-77 and I-66 distributed €205 million and €89 million respectively. Moving now to the 407 and Toronto area. Traffic grew 4.8% last year, supported by increased mobility in the area. The impact from construction activities on the 401, fewer winter weather events and more promotional offers, mainly in the last quarter of the year. Revenue grew 14% year-over-year and EBITDA 15.1%. The new toll rate was implemented on January 1st with the goal of providing more demand segmentation through more tolls zones and new vehicle classification along with an increase in fees for the first time in five years. Last year, the 407 had a record dividend distribution of [CAD1,100 million] for the 100%, a 15.8% increase compared to the previous year. The Greater Toronto Area Hamilton has a strong long term growth prospect with an expected population growth of 48%, reaching 11.4 million by 2046 compared to 7.7 million in 2021. This growth is driven by continued immigration and a favorable economic climate. Most of this new population is expected to be located along the 407 corridor where multiple urban growth centers are planned, enhancing connectivity and driving economic growth. All these prospects give us confidence on the value proposition of the 407 serving as a reliable solution to congestion in the area. Moving now to the Texas managed lanes. Average revenue per transaction grew by 6% at NTE compared to 2023, 8.8% at LBJ and 12.5% at 35 West, all of which are well above inflation. In January this year, the soft cap was updated for 2025, increasing by 2.9%. We have seen all these assets benefiting from increased mobility in their corridors. Traffic decreased by 2.2% at NTE due to the capacity improvement construction works, increased by 7.3% at LBJ with a strong performance due to lower impact from construction works in the area and increased by 22.3% at 35 West, supported by the opening of Segment 3C in June 2023. Additionally, adjusted EBITDA grew by 3.3% at NTE, 17.2% at LBJ and 36.8% at 35 West, with the latter including $40 million of revenue share in 2024. This strong performance from our Texas managed lanes is underpinned by Dallas-Forth Worth's robust business activity, which keeps bringing new businesses and residents to the region. Last year, the area was the number one destination for move in and the number one location for corporate headquarter relocations. The population is expected to grow by 55%, reaching 12.4 million by 2050. This growth is expressed throughout the Dallas-Fort Worth region, enhancing mobility and driving economic development. The I-66 saw a significant increase in revenue per transaction by 33.2% last year, continuing its ramp-up after opening in 2022 and benefiting from a strong peak performance. Traffic increased by 11.1%, revenue by 47.3% and adjusted EBITDA by 52.3%. Additionally, the I-66 paid its first dividend of $172 million at 100% in December. The I-77 delivered a solid performance in 2024 with an 11.7% increase in revenue per transaction, which was impacted in the fourth quarter by the temporary subsidy of toll rates to support recovery efforts after Hurricane Helene. Traffic grew by 4.7% over the previous year with the last quarter positively impacted by the closure of alternative routes affected by the hurricane. Adjusted EBITDA increased by 5.7%, including $4.6 million of revenue share in 2024 and $5.4 million of extended vehicle payments. The I-77 paid its first dividend of $307 million at 100% last year. I-66's strong performance is underpinned by Northern Virginia's high household incomes and robust job market. The continued build-out of several projects in key areas along the I-66 should continue to support job growth and high incomes in the region. Meanwhile, Charlotte was the number two destination for mov ins in 2024 and the number three fastest growing city in 2023. The region continues to attract companies in key sectors, including technology, finance and transportation. Now turning to our business in India. Last year, we acquired a 24% stake in IRB Infrastructure Trust, the Private InvIT, for €728 million, of which we paid €710 million last year. This acquisition includes a portfolio of 15 road projects and provides us with the opportunity to invest directly in new assets in India. The acquisition was partly funded by the sale of a 5% stake in IRB for €211 million, 3 times the transaction price paid in 2021, resulting in a pretax capital gain of €132 million. We still own a 19.9% stake in IRB, making us the second largest shareholder. IRB had a good performance last year with a 9.4% increase in revenues and a 12% increase in adjusted EBITDA, while the IRB Private InvIT reached €243 million revenues and €114 million adjusted EBITDA. We continue to see good growth prospects in India with a robust pipeline of new toll roads and a strong real GDP growth. Now moving to the Airport business. Last December, we closed the sale of our 19.75% stake in Heathrow for €2 billion, resulting in a profit impact of €2.57 billion, including the fair value of the retained 5.25% stake, which was registered as a financial investment. On February 26th, we announced the agreement for the sale of the remaining 5.25% to Ardian for £455 million. The transaction is subject to complying with the right of first offer, which may be exercised by shareholders and to the satisfaction of applicable regulatory conditions. This divestment aligns with our value creation strategy through mature asset rotation. The New Terminal one reached a physical progress of up to 60% by the end of 2024, remaining on budget and on schedule. The year 2025 is going to be crucial with key project milestones and system integrations. Commercial agreements are progressing with leases signed within our last [sixth] letter of intention and advanced negotiations with several airlines. Last year, NTO closed at $2.55 billion during bond refinancing and total equity contribution so far have been €742 million with €329 million pending. Dalaman Airport reached a new record last year with 5.6 million passengers, a 7.7% increase compared to the previous year. Revenues were €82 million and adjusted EBITDA was €64 million, increasing by 16.2% and 16.6% respectively. [indiscernible] divestment was completed last January for £450 million, resulting in a capital gain of £300 million to be booked in the first quarter of 2025. Our Construction revenues reached €7,274 million last year, which is 3.8% above the previous year on a like-for-like basis. Adjusted EBITDA was €430 million, 95.4% more and adjusted EBIT €284 million compared with €77 million the previous year. Our adjusted EBIT margin was 3.9%, surpassing our target of 3.5%. Budimex continued with a strong performance with an 8% adjusted EBIT margin, Webber maintained a stable margin of 3% and Ferrovial Construction improved to 1.8% due to the absence of losses from large projects. Our operating cash flow reached €291 million last year. We finished 2024 with a record high order book, 49% in North America and with €2.7 billion in pre-awards or projects awaiting financial close not included in the 2024 figures. We maintain our average long term target of 3.5% adjusted EBIT margin. And now, Ernesto will continue with the main financial information.
Ernesto López Mozo: Thank you, Ignacio. And good afternoon, good morning to everyone. I will start reviewing the lines below EBITDA. We start with the depreciation and we see a growth that is due to two main components. One of them is, of course, we have more traffic in our roads and that brings higher depreciation, especially in the I-66 that has a higher value. Also, we have more depreciation from equipment and machinery in construction. We have more owned resources ahead of increased activity in the coming months and years. Also when we go down below EBIT, we go to disposals and impairments. And of course, this is the line where we see the impact of the sale of 19.75% of Heathrow and others like the IRB stake. Going to financial results. We have the financial results from infrastructure projects and here we have an increase that is due to different factors. One of them is [our rigor] [indiscernible] in I-77 and you know that it paid the first dividend. And also, we have higher expenses due to the fact that most of this debt is denominated in US dollars that appreciated along the year. When we look into the ex-infrastructure projects financial result, you see a big income. And here the main component is the remaining stake in Heathrow, the 5.25% has been reflected at fair value, fair value like the price of the 19.75% that was disposed. So this goes through fair value adjustment and flatters this number. In terms of equity accounted affiliates, you see here the growth mainly from the 407 but this incorporates all the different equity stakes we have equity consolidated. Then we have income tax. Here, you have to bear in mind that the capital gain is tax exempt due and have the regular payments in places like Poland and also withholding tax from dividends coming from Canada. So that is the main summary of the net results. We can move on to the following slide where we see the cash evolution. And here we had very solid year with dividends from all our infrastructure assets in the Toll Road portfolio and then other projects in other divisions totaling €947 million. Also, the operating cash flow from construction in tax payments here we have what I mentioned basically taxes in Poland and this withholding tax that I mentioned before that also affected the recurring cash -- tax for the year. And then in terms of investment, as we mentioned in the introduction and along the way, we have invested a lot in infrastructure. Also in this block, we reflect the cash -- the return we get on the cash in hand. That's the reason why it doesn't match with the bulk investment that we commented before when you have the 170 that I was mentioning, right? Then after that interest received on the cash in hand we have the divestments that we have also been mentioning. Regarding shareholder distributions, I will get more explanation of this in the following slide, €831 million. Also, we bought treasury stock at 272 and then we have other cash flows used in financing activities. This has to be seen in conjunction with the banner we have at the bottom, because most of it has been used to pay down debt. And all these brings down with a positive FX effect on the net cash position to a net cash position close to €1.8 billion. If we move to the following slide regarding shareholder distributions, where the first thing that we commented in the Capital Markets Day, we had a guidance so far, distributions to shareholders of €1.7 billion for the period 2024 to 2026. And we have upgraded that to a minimum of €2.2 billion. This could be reviewed upwards. And here, I anticipate one of the questions that you may have. So you may say, okay, well, what happens if you win one managed lane in 2026 where the capital gets deployed five or six years after? Well, that shouldn't be really limiting maybe additional distributions, right? So we will have to analyze all the things that could be won or invested short term and long term but a specific management that is what you all have in mind shouldn't be affecting this distribution. Also, we have considered when we upgraded this, the recent announcements of -- well, the 5.25% in Heathrow remaining and also the sale of AGS. Regarding what we have been distributing along the year, you knew that we had to catch up with distributions from -- in 2023. So this year, we have dedicated €271 million to buybacks from -- I mean, corresponding to that year. Corresponding to 2024, we had €130 million cash dividend and then a share buyback of €430 million. And for 2025, we have announced the regular €570 million, a mixture of dividend and share buyback. It will be cashed out to you, distributed to the shareholders. And then we have also announced an additional buyback program of up to €500 million. So I mean after reviewing this distribution to shareholders announcement, I hand it back to Rafael for the closing remarks.
Rafael del Pino: Thank you, Ernesto. Looking ahead, we are confident in our growth prospects. We will remain focused on generating value for shareholders by striking an appropriate balance between new investments and shareholder distributions, driving value from our existing portfolio of infrastructure assets, which are located in areas with a strong economic growth, are able to price above inflation and future loan duration and capitalizing on the attractive pipeline of new opportunities we see in North American toll roads over the next few years.
Silvia Ruiz: Thank you, Rafael, Ignacio and Ernesto. We will now start the Q&A session. So operator, please, you can go ahead.
Operator: [Operator Instructions] And our first question comes from the line of Luis Prieto from Kepler.
Luis Prieto: I have three questions, if I could. The first one is following up on your presentation mentioning that you would make selected investments in other infrastructure projects in the US, data centers, airports, entity, whatever. What is the current status on this front? I am particularly interested in the potential pipeline in airport terminals. Are there any NTO like opportunities out there at present? The second question is following from what Ernesto said a moment ago, am I right to assume that the announced additional buyback program could theoretically be extended to next year? Another €500 million, for example, if the investment pipeline allows. And the third one is, if you could please shed some light on the seasonality of Schedule 22 payments that we could see in their quarterly accrual this year?
Ignacio Madridejos: I will take the first and the third and then Ernesto will be back with the second of your questions. About the investments in the US, Luis, first is reminding that our first priority is toll roads in North America. But of course, on top of that, we are looking to invest in other type of infrastructure in which we may have capabilities to create value. We are looking at opportunities in airports. So I think it's too early to anticipate any specific opportunity. Probably after the opening of the NTO, the New Terminal One is successful, I'm sure that maybe other airports that may be interested in working with private players in order to speed up some of the expansions that they may need but at the moment, nothing specific. Within there, we have a first, I mean, solar project in Texas, Leon and we are looking for other opportunities similar, but again, rotating assets very fast. And probably for the [Ital] infra is the less mature of these opportunities, and we are first focusing on Spain and Poland and also looking at when we have capabilities in the US, but probably still a little bit early. In the case of the seasonality of the Schedule 22, I think that's no more to what we have mentioned before in the way that in the first quarter of the year, we will book the Schedule 22, I mean, provision based on the expected traffic at the end of the year. And also expected on the Schedule 22 payments, but based on the first quarter performance. So I think it's going to be difficult with the first quarter to anticipate how much will be for the whole year, but you can do based on your estimates. So I think that you have to wait probably to the second and third quarter to have a much better estimate of the total payments of the Schedule 22 for the year. And Ernesto, you can go with the…
Ernesto López Mozo: Luis, you rightly pointed out that it's based on investment opportunities. The idea is that we are not going to be sitting on cash. We're looking forward to investing in opportunities that are attractive and that will mark the possibility of additional remuneration or investment.
Operator: Our next question comes from the line of Elodie Rall from JPMorgan.
Elodie Rall: First of all, on the 407, I would like to clarify the guidance that was issued there for higher traffic, higher toll, but importantly higher earnings expectations for '25. So my question is, does it include Schedule 22 when you talk about guidance for higher earnings in '25? That's my first question. Second question on the 407 is if you could help us understand how the trends have been so far? Has there been any reaction from commuters to the toll road increase? And my last question is on tariffs. I was wondering if under the Trump administration, if the tariffs that are being considered could have any impact on your business, first of all, in Canada, but also in -- as a consequence from a lower economic growth, but also in the US?
Ignacio Madridejos: The 407 in the report, the management of the 407, they say that they were optimistic now about the new tariffs implemented for the 407 at the beginning of the year, also that we're optimistic about the promotions. It's too early to say and also about the growth in the area. So as you know, we don't give any specific guidance about the 407. But what you can do is read about what the 407 management is saying about these 3 three specific points. The trends so far, I mean, with the new tariffs, I think nothing specific. I mean, it has been just two months. The weather, the winter trends have been more than the previous year. It's too early to say any implications of the increase in tariffs for the traffic. Last year, as you know, the elasticity was very low with the increase of tariffs. And in the case of the Trump administration of new policies about tariffs to some of the imports to the country, I think it's too early to say. Most of the things that we buy in the US is local. I mean, 97%, we have buy American clauses in some of the contracts. I mean, we may be exposed to in some specific cases local producers increasing prices. We have some clauses in some contracts with the change of law clauses that we may ask for compensation if it's needed specific contracts in the US. But I think it's too early to say. Of course, if there is a tariff -- very big tariff increase, it's Canada for any imports maybe -- may affect the GDP growth in Canada and more specifically in Ontario region and Toronto and of course, lower GDP may have an impact on traffic because of that.
Operator: The next question comes from the line of Graham Hunt from Jefferies.
Graham Hunt: I'll ask two. Firstly, just coming back to the share buyback and your net cash position. I guess I just want to understand what's driving the conservative approach to the balance sheet today? You made the point, Ernesto, about new managed lanes not having an impact until beyond 2026. And if you don't see investment opportunities in the next year, you could extend that buyback? But is there something that's kind of on the table that you're not specifically looking at, but are there opportunities that you're seeing that is driving you to keep that flexibility today? And can you shed any light on kind of what asset types those might be that you're retaining that capital flexibility? That will be helpful. And then second question, just on your US listing and journey towards index inclusion. Could you just remind us where you see yourselves in terms of time line there? Do you have any updated expectations as to when that might become a possibility?
Ignacio Madridejos: I will take the first one and then Ernesto will take the second about the listing. And I think about what we see as growth opportunities is what I mentioned in my first slide of the presentation. So the focus is going to be in opportunities related to North American toll roads. Also, we look in the US for airports, energy and maybe data centers. And also, we'll be opportunistic in other countries. So these are the main focus that we have in the company and what you could expect from us in the following years. We are taking that into consideration when we have taken the decision about the share buyback on what an additional dividend that Ernesto explained before. Ernesto, do you want to follow with the second?
Ernesto López Mozo: So basically, now the idea is to keep increasing investor awareness in the US. I mean you can access some indices with some liquidity in the US. It's small and it's more achievable, let's say. So that's the idea right now. Other indices are more of a long term play. Any index release is more kind of a long term play. But giving additional awareness to investors in the US could bring access to some indices where we qualify by market cap and it's only a minimum liquidity that is needed.
Operator: Our next question comes from the line of Jose Manuel Arroyas from Santander.
Jose Manuel Arroyas: Three, if I may. First question, there have been a number of questions so far on the extraordinary cash return, but I wanted to better understand your thinking behind the ordinary shareholder remuneration. The ordinary shareholder remuneration in 2025 is only growing 2% year-on-year, while slicing the dividends Ferrovial has collected from its various assets have grown by a lot more by 28%. How should we interpret this discrepancy and caution from Ferrovial? Does this mean that Ferrovial is maybe expecting dividends to come down in 2025, 2026 or you just -- should we just think that Ferrovial wants to keep cash on hand? That's my first question. My second question is on your leverage or the leverage having your 407 ETR. The asset has been adding debt for the last five years, I think, to the tune of CAD1 billion. And I wanted to understand for how long this additional deleveraging can continue? And my last question is on your treasury stock position. I think at year end, Ferrovial holds almost 8 million shares in treasury stock. Will Ferrovial cancel these and the new shares it will buy back in 2025?
Ernesto López Mozo: Well, do you know that we don't provide a guidance for dividends, but it's true that a long time. You see that dividends from our infrastructure projects are a good proxy and they have been supporting and very in line with the cumulative dividends paid. We don't provide guidance either on how much of that we distribute or the expectations for the future in terms of dividends. It's true that all our assets keep having strong operating growth. So a long time, they should expect to grow in dividends, that's natural. We don't provide a specific guidance. The only guidance we provide is the 2024, 2026 dividend and that's what we reflect. And as we said, we have provided a minimum that depending on investment opportunities could go higher. So no, we will stick to that. Always flexibility, we think, is important because opportunities for value creation come in different timings, right? So it's good to have flexibility. The -- could you remind me of the second question? I think it was the leverage on the 407, right? So the 407 has very solid ratings. So probably there's a scope in, I would say, several years down the road to keep maybe adding some, but maintaining all these solid ratings that it has, right? So there's headroom and you should be looking in your model at the normal parameters for rating, right? So yes, it has really the capacity there to smoothly -- keeping that sort of additional leverage from time to time. And then the -- please remind me of the last question?
Jose Manuel Arroyas: It's on your plans to cancel treasury stock, the existing, and the news that we acquired.
Ernesto López Mozo: So treasury stocks are -- the treasury stock we have is not part of any of these numbers we have discussed. Could it eventually become shareholder distributions? Yes, it could. Could it be used for other things like employee stock option plans? Yes, it could. So it is treasury stock, right? So we mentioned the [€172 million] of treasury stock. Yes, that's something that as all treasury stock can have different uses, we are not giving any specific views right now.
Operator: [Operator Instructions] And our next question comes from the line of Gregor Kuglitsch from UBS.
Gregor Kuglitsch: So I wanted to explore a little bit the traffic situation in the managed lanes. And I guess, specifically, I wanted to check what your thinking is on the ramp-up of the I-66, where you think we are on that curve? And then remind me on the LBJ, I think there was sort of east entry works. Can you just remind us, do you expect any sort of material growth. Is that finished now or just give us maybe some detail? That's question number one. Question number two, on the NTO. Maybe I should check, but have you signed any new airlines in this sort of the pricing, I guess, in line with your expectations? And then maybe give us an update when you actually expect to open the airport. I think it was mid '26. Is that right? And then you're supposed to start booking revenues after that, I suppose? And then on the 407, can you give us an update how the promotions are going? And I guess, specifically to manage sort of the peak traffic, I guess, is a mitigating factor to Schedule 22, please?
Ignacio Madridejos: About the I-66, well, this is the youngest asset that we have and it's still ramping up, as we saw last year with increase both in traffic and revenues and revenue per transaction. Still, we think that there is room to continue to ramp up in the following months. Let's see for how long with increase in the traffic in the following months. But also in these cases, we don't have a soft cap, as you know. So it's very different to other assets like Texas managed lanes. So it will be more difficult to know when we finalize the ramp-up of the revenues per transaction because of that. We are moving to a territory that we have not been before. In the case of LBJ, we saw an improvement last year, both in the traffic in the corridor and also the capture rate because improvements in the construction. The construction is ongoing. We are not doing the construction. So we don't know we have a specific date in which it will be finished. Our assumption is that will last this whole year and part of the next, but we don't know exactly how that will progress. But of course, once the construction is finished, we shall see more traffic to the corridor and also traffic coming from managed lanes that will fit LBJ. In terms of NTO, what we have announced is that we have signed contracts, agreements, airline user agreement with 10 airlines, some of them new last year. And also, we have signed letter of intents with six additional airlines and we are also negotiating with many others. We expect that most of the action will happen end of the year, beginning of the next year. Airlines used to one 1 year in advance. Opening -- the date for opening is June 2026 and we are on the schedule. But the last year is more complex when you have to integrate the different systems and you have to coordinate a lot of different players that have to give service. So we'll see but the date that we have today is June '26. And in terms of the 407 and the promotions, is -- we have not started the promotions. So we are still -- we are now contacting some of the potential users of the promotion, offering these promotions but that will start during the month of March. The pilot that we did, especially at the end of the last quarter was positive. But I mean, it's different when you do a pilot that what is going to be massive with more users. So I think it's too early to say. We have no launch date at that yet. But well, at the end of the first quarter, we'll see what month. And maybe at that time, we have a little bit more color of the evolution of the promotions.
Operator: Our next question comes from the line of Augustin Cendre from Stifel.
Augustin Cendre: I've got two questions, mostly on your Construction divisions. First, on your order book this year, you had a very strong performance, and it seems to be driven by Webber and Budimex. I was wondering if you could explain what drove that increase in 2024? And if you have any examples of large projects that drove this or if it was really across the board, an improvement in civil engineering or other sectors? And my second question is about Budimex. I was wondering how you see the role of Budimex in the potential rebuilding of Ukraine as and when the war ends?
Ignacio Madridejos: The order books in construction -- last year, as I was commenting, was a new record, an increase versus previous year and also have some projects that were not included at the beginning of the year. But I will say that 49% is in the US and mainly coming from Webber. Webber is doing mainly [indiscernible] projects and mainly in Texas, and these are usually projects $200 million to $150 million are the projects that there have been many, a lot of investment in infrastructure. Also some of those in the East Coast but more limited. But in general, I think we have seen a lot of activity related to highways and roads in Texas. Other states in the Southeast that is the main low risk, I would say, projects that is the main driver of the increase in the order book in Webber. For Budimex, after elections what we have seen is more European funds. And with that more of the typical highways or railways projects that we are -- I mean, doing frequently in Poland. So we have got more of these projects. I think that we don't have the order book that we have is, I would say, healthy and I think according to the level of risk that we want to have and concentrated in those places in which we want to develop capabilities also to do concessions. In the case of Budimex and Ukraine, well, first, hopefully, we see an end to the conflict as soon as possible and starting the reconstruction of Ukraine. I think that Poland will play a role in this -- in the reconstruction. I think that Budimex will have capabilities but it's too early to say what will be the impact on -- how is -- they participate. So I think it's too early. I mean, first, we need to wait to the end of the war. And after that, Budimex, based on the capabilities that they have, they will analyze if they can create value, helping with the reconstruction of the country. But it's too early to say.
Operator: There are no further questions from the conference call at this time. So I hand the conference back to Silvia Ruiz. Thank you.
Silvia Ruiz: I will go -- we have a couple of questions through the webcast. So I will start with them. Our first question comes from Matthew [Blanco] from Santander. What strategy do you envisage in data centers after acquiring the first land plot, any targets on megabyte capacity, equity contributions, partners?
Ignacio Madridejos: In data center, we have been supporting our customers building data center for the last 14 years, mainly in Spain, but also in other markets too. And what we are doing now is supporting this customer also with the development of financing of some of the data centers that they may need in the places that we have capabilities with leases. We are starting with that. So it's a very early stage. We have one piece of land in Madrid that is a 40-megawatt IT project that we are working with one hyperscaler that we'd like to lease to them. So -- but never we have -- whatever we have capabilities like we have in Spain or we have in Poland, we may develop in the US. We'll try to support our customers but our position will be working with hyperscalers and listen to them. And well, at some point of time, we develop some of this, we may rotate similar to other assets that have more value to third parties than to us, starting with this first piece of land in Madrid and this 40 megawatts IT project.
Silvia Ruiz: A couple of questions from Ruairi Cullinane from RBC. First question, what impact do you expect from the new US administration's tax plans and the path of resolutions recently passed by the House of Representatives?
Ernesto López Mozo: I will comment on taxes. I think that regarding other things like tariffs has already been addressed in the call. Regarding tax plans, I mean, the main headline is the -- a reduction from 21% to 15% in corporate income tax. I mean, this usually brings additional economic activity, something that is good for our assets. And of course, a lower tax rate means a higher asset valuation, but I mean initial stages yet.
Silvia Ruiz: Second question, also for RBC. Could the further proceeds from the recently announced disposal of your remaining Heathrow stake from top-up in buybacks or was this considered in the €500 million buyback announcement?
Ernesto López Mozo: Really, I covered this along the presentation because I mentioned that everything has been factored in, so the sale of [AGS] and the remaining Heathrow stake. So I mean, the evolution would be marked by our success in attractive investment opportunities that we are seeking.
Silvia Ruiz: There are no more questions through the webcast.
Rafael del Pino: Thank you very much for attending this 2024 results conference call, and we look forward to engaging with you all again soon.